Operator: Good day, everyone, and welcome to the Neogen Corporation Third Quarter Fiscal Year 2008 Earnings Announcement Results Conference Call. Today’s call is being recorded. For opening remarks and introductions, I would like to turn the call over to Mr. James Herbert. Please go ahead.
James Herbert: Thank you. Good morning and welcome to our regular quarterly conference call for investors and analysts. Today we’ll be reporting Neogen’s third quarter, which ended on February the 29th this year of 2008. I’ll remind you that some of the statements made here today could be termed as forward-looking statements. These forward-looking statements of course are subject to certain risk and uncertainties, and the actual results may differ from those that we discussed today. These risks that are associated with our business are covered in part in the Company’s Form 10-K is filed with Securities & Exchange Commission. In addition to those of you joining us today by live telephone conference, I’d also welcome those who may be joined by way of simulcast on the Worldwide Web. These comments along with some exhibits will be available on the Web for approximately 90 days. Following comments this morning, we’ll entertain questions from participants who are joined by this live telephone conference; and I’m joined today by Lon Bohannon, Neogen’s President and recurrent [sic] our Chief Financial Officer. Earlier today, Neogen issued a press release detailing the results of the third quarter of the Company’s 2008 fiscal year. This was another record quarter for the Company in terms of both revenues and income. A tremendous amount of credit goes to Lon Bohannon and all those employees in our Company’s Operating Group as they continue to put together these record quarters. This one marked the 64th quarter in the past 69 quarters that Neogen has shown increased review as compared to the previous year. This is the time spent and that extends over 17 years. The announcement this morning of course said that Neogen’s income for the third quarter increased 34% from the previous year’s third quarter to almost $2.7 million or $0.18 a share. That compares to last year’s third quarter of approximately $2 million or $0.14 a share. Neogen’s third quarter revenues increased 20% from the prior year to approximately $25.2 million compared to approximately $21 million a year ago. On a year-to-date basis for the first nine months, Neogen’s net income increased 31% to $8.9 million compared to $6.8 million in fiscal year ’07. This brings the Company’s earnings per share for the first three quarters of this year to $0.60 per share as compared to $0.48 per share for the same period last year. Revenues for the first nine months rose 19% as compared to the prior year to reach $75.3 million. That’s if you calculate it out, that’s an increase of about $1.3 million more per month for the first nine months of this year. With one quarter left, this should put us in striking distance of the goal that we set more than a year ago and that was to obtain $100 million in revenue for the current year. Our achievements in both the Food Safety and Animal Safety areas during this past quarter I think were gratifying. Lon Bohannon will report more on the specifics in a few moments; however, I’d like to cover a few of the highlights of the third quarter. We’ve always told investors that Neogen is based judged by its operating profits since this takes into account all the controllable expenses of the Company. Our operating profits for the first nine months of this year stand at approximately 18% as compared to 16% this time last year. Our management group is pleased at the attain month particularly given the tough economic environment of the past 9 months. Transportation costs, grain commodity costs, and an increase in cost of all those products that are petroleum-based continue to make it more difficult to show profit margin improvements. As we began this new year we expected to see increased costs in transportation because of fuel as well as increase in our international sales. Since most of our international products are produced here in the U.S., freight is higher for that portion of our business. Management launched a multifaceted program in hopes of preventing an increase in freight costs, and in fact we’ve been successful not only in holding freight costs but actually reducing freight costs by half a percent of sales for the first nine months of this as compared to last year. So our freight costs are 50 points less than they were a year ago. Our sales and marketing expense is by far the largest overall expense of the Company, aside from costs of goods. Though we spent $1.5 million more in sales and marketing in the first nine months of this year as compared to last year, our sales and marketing expense now stand at 20% of sales. That’s 120 points less than it was a year ago. Neogen’s international sales continues to gain increased attraction each quarter. Revenues derived from outside the U.S. in the first 9 months of this year now stands at 38%. There’s noteworthy activity that’s occurring in a number of the 100 countries where Neogen does business. Neogen Europe, our Scotland subsidiary continued its exceptional growth performance in the past quarter. Those revenues are derived primarily from inside the E.U. On a year-to-date basis, this group is now recorded a 37% increase in revenues and expect their profits at year-end will likely be double those that recorded in the last fiscal year. During the quarter, our operating groups also did a good job of integrating acquisitions that came on since the beginning of the year. The Kane Enterprise operation that was added to our Animal Safety group a little over three months ago, I would assess is now about 90% integrated. Early in this third quarter, Neogen acquired the assets of Rivard Instruments, a Canadian company that was involved in the manufacturing and marketing of detectable hypodermic needles. We’re well along in that integration and have found no surprises. There was essentially no contribution from the Rivard business to Neogen’s third quarter; however, we do expect to see this business begin to make a contribution as we move into this fourth quarter. I’d like to make a few comments on that: The combination of this detectable veterinary hypodermic needle business along with our already existing line of detectable needles should put Neogen in a dominant position worldwide in marketing of these products. At this point, the primary market area is in poor production. Denmark has already mandated that all hogs in that country must be injected using a detectable needle. A mandate from the principal processors of pork in France is rapidly converting that country to detectable needles. Most of the Canadian pork producers are also under a requirement to use detectable needles. There’s no such mandate in the U.S., but there’s continued pressure from U.S. pork processors asking live hog producers to use these detectable needles. Neogen now owns a collection of patents that are filed throughout the world and I think put us in a strong proprietary position. Our products are the only ones that have been certified by various organizations to be detectable at a processing plant in the event the (inaudible) needle was broken and left in the muscle of an animal at the farm level. The concern of a broken needle fragment that would find its way onto the consumers’ table in a cut of meat continues to increase in total concern. Continuing to look at the international side, we continue to do well with our BetaStar line of test to detect the presence of antibiotics in milk. Essentially all of those revenues have come from outside the U.S. Sales of these products were up 28% in the third quarter as compared to the prior year. Also during the quarter, we released our new TetraStar test for milk producers that’s complimentary to the BetaStar line. This test detects residues in milk of tetracyclines. That’s another of the group of drugs that’s used to treat dairy animals. We also made some substantial progress during the quarter toward getting our dairy antibody test approved for sale in the United States. At long last, the Food and Drug Administration approved our product for sale. Also during the quarter we received approval from the important Association of Analytic Chemists that’s relied upon by many million in the U.S. dairy industry. We’ve got a couple more hurdles that we still need to clear, but we should clear them rapidly, those with the U.S. Interstate Milk Shippers Group. We currently expect to get both of those two remaining approvals get completed sometime in April. This will allow us then to begin the marketing effort in the U.S. and that market is estimated at being about $12 million annually. We don’t have anything specific to report to you this morning from the acquisition front. However, we continue to be well positioned with over $11 million in cash and no bank borrowing; and that’s even after the financing of those two acquisitions earlier in the year. We continue to look at some interesting possibilities that could be synergistic to our business, but at this point there are no letters of intent in place. I guess to looking back, I continue to be pleased with our efforts to build (inaudible) shareholder value. In fact as one guide of that, our shareholder equity has shown a 15% increase since the beginning of the year. At this point, I’d like to turn the conference call over to Lon Bohannon, the Company President and Chief Operating Officer to give you some more of the details of how he and his team accomplished last quarter’s achievements and how he’s looking at the remainder of the year. Again, I believe that this group has earned a lot of respect for their continued quarter-to-quarter growth in both revenues and net income. Lon.
Lon Bohannon: Thank you, Jim, and welcome to those of you on the conference call as well as those joining in by way of Internet access. As Jim indicated in his comments, Neogen experienced yet another quarter of exceptional growth in sales and bottom line performance. I think the fact that we were able to achieve such outstanding performance in the face of some very challenging economic times is a noteworthy accomplishment. I would never say that any company is recession proof, but I do believe that the diversity of our products and the attractiveness of our markets do make Neogen at least recession resistant. Our success in achieve 20% sales growth in both the Food and Animal Safety segments in the third quarter, I think provides strong evidence that our overall business model for growth is still very much on target. I was particularly pleased that 5 of our 7 operating units showed strong increases in sales compared to our internal budgets and the prior year. Of course that means that we still have room for improvement, since we did have 2 groups that struggled during the quarter. One of those groups was our Soleris product line of optical microbial detection systems which ended the quarter with sales below last year. The shortfall in sales was totally due to the number of Soleris instruments sold in the third quarter this year compared to last year since sales of Soleris disposable vials used to detect spoilage organisms actually increased 12% for the quarter. Although we do offer a variety of financing alternatives, customers interested in our Soleris test systems generally must commit to a significant capital expenditure. I think due to the softening economy, we did see some customers delay decisions to make large capital expenditures in our third quarter for this product line. However, I would hasten again to remind you of the strong third quarter growth in sales of disposable vials that are consumed monthly by Soleris customers; and in addition, the Soleris product line remains 34% ahead of last year through our first nine months and has more identified prospects in the pipeline than any of our operating units. I’m confident that this group will rebound in the fourth quarter and end the year not only above budget but well ahead of last year’s total sales. The other operating unit that struggled in the third quarter was our Hacco rodenticide business. Sales in this group also fell below the prior year for the quarter and will likely end the year below our prior fiscal year. As we have discussed in previous quarters’ conference calls, I cannot find any evidence that Hacco has lost any significant market share to competition. But we do continue to find very soft demand for rodenticides across most all market segments, including the farm store retail market and our private label contract manufacturing business. I do continue to find reasons to believe that the rodenticide business will rebound in fiscal year 2009. Our new packaging design for rodenticides has been very well received by existing customers. We made good progress in the third quarter on some sizable contract manufacturing opportunities and we continue to work to obtain new registrations in international markets. We also anticipate that new EPA regulations expected to be finalized some time in the 60 to 90 days will provide new sales opportunities for our diphacinone-based rodenticides. Finally, I think the addition of new field-based sales staff focused on this line in poultry integrators is starting to yield some tangible results in the form of new sales for rodenticides as well as disinfectants. Now obviously since we did have such an exceptional quarter in terms of sales growth, our other operating units more than offset these relatively minor shortfalls for Soleris and rodenticides and in my opinion provides further evidence of the strength of Neogen’s diverse product offering. Out of the 5 groups that achieved stellar growth were led by an outstanding quarter in sales of dehydrated culture media. Sold under our Acumedia brand name, this group ended the third quarter with sales 45% higher than sales for the same quarter last year. Almost all of this increase came from sales to new customers drawn to Acumedia as a result of superior service, including our willingness to work directly with customers to develop custom products for specific needs. As Jim indicated in his comments, our Neogen Europe operations continued their significant growth success with sales for the third quarter achieving a 35% improvement compared last year, strong sales of diagnostic test kits for mycotoxins and general sanitation led the way along with significant shipments of dehydrated cultural media to customers in the E.U. Neogen Europe has been very consistent in achieving solid quarter-to-quarter growth for the last two years, and I would expect that strong performance to continue as we move through our fourth quarter and into next fiscal year. Another group that turned in a terrific third quarter was our Lexington Division. This operating group experienced an overall sales increase of 32% compared to last year. Jim mentioned the successful integration of the Kane veterinary products that we acquired last August. This product line contributed significant sales growth for the quarter and Kane sales are now running about 9% ahead of our budgets on a year-to-date basis. Another product line that added to Lexington’s outstanding quarter was our diagnostic test kits sold to the animal racing industry and forensic market to detect drugs of abuse. Racing kit revenues were up 28% compared to the third quarter last year, while forensic kit and equipment sales more than doubled compared to the prior year. Sales growth in the forensic market was helped by placement of three instrument-based test systems to detect drug residues with the Center of Forensic Sciences in Canada during the quarter. Our Lexington Division also achieved solid growth in sales of research diagnostic kits and products sold through ethical distributors including equine supplements and our wound leg and foot products. Sales of specialty veterinary instruments were up 48% for the quarter and a 20% increase in products sold under our trademark Squire-brand also contributed to Lexington’s overall third quarter growth. Neogen’s Lansing Diagnostic Group had another solid quarter of organic sales growth with a 12% increase compared to the third quarter last year. Sales of diagnostic products to detect harmful bacteria like E. coli, salmonella, and listeria continued their recent quarterly string of substantial growth with an increase of 28%, and this strong third quarter performance helped move year-to-date sales growth for tests to detect harmful pathogens to an excellent 20%. In fact, I think it is noteworthy that sales of diagnostic kits for general sanitation, naturally occurring toxins, and food allergens, in addition to test kits for detection of pathogens have all achieve double-digit organic sales growth ranging from 11% to 34% for the first 9 months of this fiscal year. Some other individual product lines contributing to Lansing Division’s strong third quarter included tests for histamine which increased 35%, test kits of disposal samplers used in monitoring general sanitation which were up 18% and test kits to detect mycotoxins like vomitoxin and ochratoxin which were up 9% and 50% respectively. The last operating unit to comment on is our Diary Antibiotics Group. As reported earlier by Jim, this division continued its trend of exceptional quarterly growth with a 28% increase in sales for the quarter. Now currency translation has certainly helped overall sales for dairy antibiotics, but this group has consistently achieved double-digit unit sales growth in each quarter this fiscal year. In addition, and also mentioned by Jim in his comments, we did make excellent progress this quarter toward obtaining final approval for our BetaStar U.S. dairy antibiotic test. Final approval for this product should provide further momentum to help drive future growth for the dairy antibiotics as we move into our 2009 fiscal year that begins June 1st. Before I conclude my comments, so we can get to the question-and-answer session, I should make a couple comments pertaining to third quarter margins. I’m sure that many readers of the press release noticed that gross margins were down from last quarter and last year. This was not unexpected. It is true that we have seen increases in prices for certain raw materials, most noticeably in the areas of commodity grains used in the manufacture of rodenticides and for a number of raw materials used to formulate dehydrated culture media. However, we did begin the process of implementing price increases during our third quarter, and we will initiate further price increases in the fourth quarter as necessary to help protect margins. In addition, our overall product mix had as much, if not more, impact on gross margins than those increases in raw material costs. The third quarter saw very, very strong mix of revenues from dehydrated cultural media from Kane veterinary product sales. Both of these product lines carry proportionately higher raw material costs and overall costs of sales in some of our other product lines. However, they also require far less operating costs to support sales including sales and marketing expense and research expense. Accordingly, their overall contribution to operating profit is still very good, which helps explain why Neogen was able to report a 32% improvement in operating profit for the quarter. As detailed in our press release, operating profit for the quarter improved to 16% compared to 14% last year and operating profit has now improved 29% for the first nine months of our current fiscal year and now stands at 18% of revenues compared to 16% for the same 9 months last year. As you heard Jim comment on earlier, we have said many times before, we believe operating profit is the best way to judge Neogen’s overall performance. To conclude, I think that recent headlines indicate that consumer and regulatory concern pertaining to food and animal safety issues will continue to receive a lot of attention for the foreseeable future. I would hope that my comments today provide our listeners with confidence that Neogen is well positioned to be the dominant supplier of solutions to help (inaudible) more effectively address many of these food and animal safety concerns. That concludes our prepared comments for this conference call; and at this time, we’ll open the call for questions from our listeners.
Operator: Thank you. (Operator Instructions) We’ll take our first question from Tony Brenner with Roth Capital Partners.
Anton Brenner – Roth Capital Partners LLC: Thank you. I have two questions. One is regarding the shipment to that new Canadian forensic laboratory. I’m just wondering how meaningful that is and to what extent it might impede your revenue growth rate this time next year?
James Herbert: Well let me let Lon answer that. I don’t think it’s big enough to make a big difference. Your concerned about the quarter-to-quarter comparison would be, Tony.
Anton Brenner – Roth Capital Partners LLC: Right.
Lon Bohannon: We have a number of our product lines now that are, sales are helped along by the sales of instruments that are used in conjunction with disposable products. So we may have a quarter next year as it relates to the forensic product line where if we don’t have the same number of instruments sold, we’ll have an issue with comparisons. But overall we could have instruments sold in some other product line in that same quarter that would more than offset that. I think that’s one of the strengths of the Neogen and one of the things I tried to get across in the comments was that with our diversity of products and serving in so many different markets, usually that kind of thing is not anything that will inhibit our growth. It was certainly helpful to the forensics group for this particular third quarter, but it’s not sizeable enough in terms of the sales of those instruments to have an impact for comparison purposes next year in that particular quarter.
James Herbert: Tony, I think $175/180,000 probably is about where that came in.
Anton Brenner – Roth Capital Partners LLC: Thanks. Also the tax rate in the third quarter came down about 300 basis points from where it had been. Was there some unusual factor or is that just a correction of over accruing in the first half?
James Herbert: There wasn’t any correction of the first half. It really was effective the option activity in the quarter, Tony. The way that’s accounted for now, it does effect your tax rate and also it makes a difference where our earnings come for the state taxes because we have quite a bit of diversity in how much state tax we pay by area. So if I were looking forward, I’d say that rate for the year-to-date is probably a good rate to use for the fourth quarter.
Anton Brenner – Roth Capital Partners LLC: Thank you.
Operator: Thank you. (Operator Instructions) We’ll take our next question from Steve O’Neil with Hilliard Lyons.
Stephen O’Neil – Hilliard Lyons: Good morning. I don’t think there were any acquisitions, so was the 20% Food Safety increase entirely organic?
James Herbert: Yes.
Stephen O’Neil – Hilliard Lyons: What about organic growth in Animal safety?
James Herbert: Rick, I don’t have that number on top. Do you got that number?
Richard Current: Yeah, there was 1% for the quarter and 3% year-to-date on Animal Safety, so the old businesses are growing. As Lon talked about, part of that Animal Safety is the Hacco business which is revenue which is down a little bit right now.
Stephen O’Neil – Hilliard Lyons: Go ahead I’m sorry.
Lon Bohannon: The Animal Safety is really the old tale of two cities and stuff. We’ve got two operating units there. The Hacco group has been soft this year and was off in the double-digit territory I think for the quarter, but it was offset not just by acquisitions. But the Lexington Division has very good organic growth in addition to the contribution from the acquisition of the Kane veterinary products.
James Herbert: Somewhere maybe around 3% organic growth in total I guess, Steve.
Stephen O’Neil – Hilliard Lyons: So for the year-to-date was 3%, 1% in the quarter?
James Herbert: Animal Safety, yes.
Stephen O’Neil – Hilliard Lyons: Then you mentioned in the text your OTC products were up 63% through the addition of Kane. What was the organic growth there or what was the growth there excluding Kane, if you have that figure?
Lon Bohannon: We don’t break that out to that level of detail. Then you also get this, we talked about this before, you know, on how you calculate organic growth. I think we’re having some success in expanding that Kane product line so that we’re doing up to this point better than our budgets which would imply that we’re doing better than for the same period last year. But we treat all of that as growth from acquisition even though I think that integrating it into our operations and adding our sales staff and selling to more markets helps overall with the growth.
James Herbert: It was another one of those good bolt-on cases. Kevin Kane has done a great job of running the business, but he didn’t have 20 sales people out there helping to sell product every month either, so that’s been a help.
Stephen O’Neil – Hilliard Lyons: Also there were a couple of things I didn’t get written down. You were referring to diagnostic test for racing and drugs of abuse and you said in the racing industry, they were up a certain percentage. Now I didn’t get that written down, Lon; if you could repeat that please.
Lon Bohannon: It was 28%.
Stephen O’Neil – Hilliard Lyons: 28%. Then also you referred to some mycotoxin growth, 9% and 50% respectively. Once again I didn’t get the components of that written down.
Lon Bohannon: That was, I was talking about specific mycotoxins that those were specifically for vomitoxin or DON.
James Herbert: There were 9 for vomitoxin and 50 for ochratoxin.
Stephen O’Neil – Hilliard Lyons: What were mycotoxins in total?
Lon Bohannon: I think they were right around 10%.
Stephen O’Neil – Hilliard Lyons: Then finally, I think you didn’t really highlight the AccuPoint general sanitation; I don’t think you did anyway. Could you elaborate on how that’s performing?
Lon Bohannon: Well I indicated that the samplers, the disposable part of that business was up 18% for the quarter. It continues to be very solid in terms of double-digit organic growth there.
James Herbert: That’s both domestically as well as international, some great breakthroughs internationally this quarter, toward the end of the quarter and I guess maybe some of them even shaping up into the fourth quarter coming out of both Asia and Europe.
Stephen O’Neil – Hilliard Lyons: Which is a good lead-in, and my last question is: Can you comment on sales in China or Latin America?
James Herbert: China is China. I don’t think… (Inaudible) is our guy in charge of China but… That’s a good way to get out of that one wasn’t it? But there’s nothing, a lot of interest and some activity over there, but I don’t think anybody’s got any real breakthroughs going in China yet. We’re doing some things over there. We’re looking at the problem with occultural and the problem with water; 70% of the occultural in the world is in China. It’s been under fire. The U.S. and China have signed a number of accords, but at this time it seems that everything is aimed at making sure that people are safe at the Olympics. It’s difficult, but we’ve always said that. We said, “Don’t go buy Neogen because we’re in China.” It’s coming, I just… I don’t know, Lon’s got something more concrete to report. It’s fairly unexciting at this point to me.
Lon Bohannon: I would say that if you look at this fiscal year year-to-date, I’d have to say our sales to China have been frankly from my perspective have been disappointing. We are having some success. We’ve signed up some new distributors over there that have moved some of the dehydrated culture media. We continue to sell some of our pathogen diagnostic tests over there. But the opportunities that we thought we should begin to realize related to general sanitation testing, including our samplers for ATP, have not materialized. We continue… They have not gone away according to our partners who we work with over there on this, but they have been delayed or they seem to be taking a long time to get through bureaucracy over there in order to make decisions to buy units and start getting on with testing. I think we’ll probably… The last discussions we had with our distributor over there that’s focusing on this area, indicated we ought to know some time in June whether or not there’s really going to be anything come out of this over there for this calendar year or not and so we’re working with him to try to make that happen.
James Herbert: Not like (inaudible)…, I mean Lon and I have been on the phone to China two nights in the last week at 9:00 or 10:00 at night. Of course that’s 9:00 or 10:00 in the morning over there, so it’s not like our efforts (inaudible).
Stephen O’Neil – Hilliard Lyons: Thank you very much.
Operator: We’ll go next to Amy Stevens with Susquehanna
Amy Stevens – Susquehanna Financial Group : Yes hi. Thank you very much. Good morning. I just wanted to follow-up on a few things. Back to the gross margins and the costs that you called out as contributing to the increase costs of goods – transportation obviously you said really ended up not being a factor, grain commodity products is a factor of course, and then of course the petroleum-based costs. Can you kind of tie those in to your business segments and how… What are the primary petroleum-based costs that you incur and same with grain commodity?
James Herbert: You got first look at all packaging material when you look at petroleum-based stuff. We’ve got a lot of film, a lot of plastic. The same thing is true with a lot of disposable products in our veterinary line, a lot of packaging there, a lot of disposable syringes. The grain business is kind of unique in that we’re significant buyer of corn and soybeans and wheat and you’d wonder why we’d be doing that, but the majority of the ingredient in a rodenticide is the bait itself, not the active material that in fact acts as the rodenticide agent. So we buy a lot of wheat and corn and soybeans and some oats and that market is just skyrocketed since the beginning of the year. I don’t think any of us, we’re not the only ones that got caught there. Nobody suspected that it would go up that rate. We were concerned because of the large amount of corn that was being pulled out of the market by ethanol producers, but that spilled over into… If corn was not available, then it had to compete with that same land that’s being planed back this spring is competing is, corn’s competing with the small grain such as wheat and oats. So it’s pushed the entire ingredient market up and that’s been complicated further by the fact of the devaluation of the dollar, so corn is cheaper in the United States than it was for our importing countries than it was before. I mean you probably read, there’s all sorts of concerns about what this has done to the balance in grain supplies; and it’s not just us, it’s a lot of our customers are impacted by the food costs. A couple of major processors have closed down some meat production plants because of what was happening, the largest of the poultry producers shuffling down. I think there’s also been some shutdown on the pork producing side. So it’ll come back and things will level out. But it certainly has been a challenge in the cost in those areas.
Amy Stevens – Susquehanna Financial Group : That’s kind of what you had pointed to before as the reasoning behind it. When you say it’ll come back, what are you thinking in terms of go forward how we should think about these costs throughout fiscal I guess ’09?
James Herbert: Well I mean two things can happen. If I could tell you what the price of corn was going to be next year, well I’d be putting my orders in commodities bit this morning instead of being here. But I think prices are getting adjusted and that’s taking a little while. The costs have gone up for instance on something like rodenticides. We were locked in a lot of contracts that were going out and we had retailers that were locked in on the price that they were going to sell it for. Even though our prices have gone up substantially, it’s been difficult for us to take prices up as fast. But we’re in the process of getting those prices up and that will help offset that. The same thing is true with… I mean we’re continuing to pay more money in shipping for transportation, but we’ve been able to do some things to make transportation or freight as a percentage of sales. As I’ve mentioned, we actually brought that down 50 points as a percent of sales by doing such things as: We now run two containers a week from Michigan to Scotland or before we’re shipping more stuff by air. We’ve put together some warehouses, particularly for our Animal Safety group where they can put heavier products, instead of having them in one location, they can spread them out so that we can reduce the cost on less truck load quantities going to customers. We still have some opportunities to do that. We’re passing along price increases and we believe that in most cases that our competition has also realized what’s happened to their cost and they’re passing some things along. But it’s just you couldn’t increase prices as far as costs were going up and had some impact on this.
Amy Stevens – Susquehanna Financial Group : Then in terms of the dehydrated culture media, have you ever given any kind of rough percentage in terms of understanding its contribution to revenue?
Lon Bohannon: It’s about 6% of sales in total if you look at it like that of total revenues for the quarter.
Amy Stevens – Susquehanna Financial Group : Which of the, is it the petroleum-based product cost that would cause that group to have lower net margins?
James Herbert: No, it’s part of this worldwide economy we live in. We buy a lot of raw ingredients that go in. For instance, casein products coming from milk is one of those. All of sudden casein got short supply on a worldwide basis. We buy most of our casein comes out of New Zealand because some of the people that we sell dehydrated media to want to make certain that our ingredients come from countries that have never had any experience with mad cow disease, with BSE. One of the major producers of milk products and casein is in New Zealand that product has been reasonably available over time. All of sudden we see such things as for instance that the Chinese economy has picked. There’s a little more disposable income over there, so China is taking more non-fat dried milk which robs that out of the casein market. There are more Chinese babies today that are having real cows milk as a formula instead of rice milk, so all of those things on a worldwide economy have impacted just the pure availability of the product. There’s some increase in prices, but it’s availability in products like the casein product. That’s driven up some of our ingredient costs. Then again, we pushed through some price increases already and we still have more room, and we know we’ve got some more room; we have to go there.
Amy Stevens – Susquehanna Financial Group : Then just a last question on the dairy testing market: The $12 million annually, is there any breakdown in terms of… I mean is your BetaStar or actually the TetraStar testing going to be applicable to that full market or is there some sub segmenting of it that we should know about?
James Herbert: You want to know how big the TetraStar will be?
Amy Stevens – Susquehanna Financial Group : Sure.
James Herbert: There are a number of products that fall into the beta-lactam area that are used to treat dairy cows for mastitis and infection of the memory system and those problems at the farm level continue to be, in fact they continue to grow as we demand more and more production out of cows at the farm level. So that market is probably growing a little, not a lot. We think that… Of course we’re not a player at all in the U.S. right now, but we think that we’ve made some competitive gains in parts of the rest of the world. We have two major competitors, both good companies, both have good products. But we think we’ve made some gain there. The TetraStar business will not be near as big as the BetaStar business. It’s a companion to BetaSar. At this point there are two/three countries in the world who are using tetracyclines as antibiotic that have a concern. One of those is Spain. That was in fact the first place we went with the new product. There’s some concern in France; there’s some concern in Mexico. The U.S., as an example, is not concerned about tetracycline. There’s not enough being used at this point for them to be concerned about being a residue in milk. I can’t tell you whether it’s going to be 10%, add 10% to sales or 15% or 20%, but it’s certainly would not be in a position of doubling sales. It’s just another antibiotic that’s being used but not used near so much. As an example, I believe it’s Spain that says that every fifth load of milk they test with tetracyclines, the other 4 they test for beta-lactam. So if you said the rest of the world was going the route that Spain would go, it could be a maximum of 20% of the revenues that we derive now from BetaStar.
Amy Stevens – Susquehanna Financial Group : Thank you very much.
Operator: We’ll take our next question from Vito Menza with Sandler Capital.
Vito Menza – Sandler Capital Management: Hey, guys, nice quarter in the face of some tough commodities. A couple of questions for you: I guess just firstly, the organic growth in food, if you take out the currency benefit, where did that play out?
James Herbert: Vito, the currency has been about $300,000 a quarter for all three quarters of the year. The third quarter was closer to $350, so the total just under a $1 million for the three quarters.
Vito Menza – Sandler Capital Management: That’s Company-wide or just Food in specific?
James Herbert: That’s Company-wide.
Vito Menza – Sandler Capital Management: Company-wide, okay. Then just secondly, the animal organic growth is really being held back, it’s the rodenticide product that’s really holding it back there, am I right?
Lon Bohannon: Yeah that would be a fair statement certainly for this fiscal year.
Vito Menza – Sandler Capital Management: Then just lastly, obviously there’s some lag effect when you try to pass through some of the pricing and, again, like you said, the ags moved so violently this quarter, if we see some moderation here, I mean pricing is fairly sticky. I’m thinking just on the way down you’re not going to give back as quickly. Is that a fair statement?
Lon Bohannon: I think that would be true. We put in some price increases, some of which went into effect as early as November. I know we put some more in in January and we have more planned for the April 1st timeframe. I think we’re being honest with ourselves and taking a look at these different product lines. There’s been some pushback on some of those increases, but by and large, I think there’s been enough understanding of what’s going on in the economy in specific areas and our sales people have done a good job and have good relationships with customers that they understand what the situation is and for the most pat, we’ve been able to get those in and have been able to make them stay.
Vito Menza – Sandler Capital Management: Got it. Thanks a lot, guys. Nice quarter.
Operator: (Operator Instructions) We will take a follow-up question from Steve O’Neil with Hilliard Lyons
Stephen O’Neil – Hilliard Lyons: Hello again. One quick housekeeping question. With the large cash balance, I just wondered if you’d explain why your other income was so low?
Richard Current : Part of the accounting for our hedging transactions that we have on the euro goes through that and offsets it, Stephen.
Stephen O’Neil – Hilliard Lyons: So that offsets the potentially higher interest income?
Richard Current : Yes.
Stephen O’Neil – Hilliard Lyons: Thank you.
Operator: Mr. O’Neil, did that answer your question?
Stephen O’Neil – Hilliard Lyons: Oh yes. I’m sorry; I was finished.
Operator: All right, thank you. With no additional questions at this time, I’d like to turn the conference back over to Mr. Herbert for any additional or closing remarks.
James Herbert: Good. We certainly appreciate your joining us this morning. We look forward to reporting the year-end, which is only a little more than 2 months away with being able to report that we did meet our goal and topped the $100 million mark in total revenues for this year. Thanks for your support and good day.
Operator: Thank you. That does conclude our conference call today. We appreciate your participation. You may disconnect at this time.